Operator: Good morning, all. Welcome to our 2018 full year results. Thank you for joining us here today -- here and also thank you to those joining via webcast. I'll now hand over to Ivan Glasenberg.
Ivan Glasenberg: Good morning. Thank you. So today we're presenting our 2018 results. Not working right. Okay. And as you can see, we got a few highlights here on this presentation. And you can see, we had a record year. We had a $15.8 billion EBITDA during the year, which is 8% increase to the previous year. Net income pre-significant items is at $5.8 billion and that's 5% increase from the previous year. What we did in 2018, as you are aware, we had big distributions from the company, which gave compelling cash returns and we distributed via buybacks and distributions $5.2 billion and that was made up of around about $3 billion of distributions and $2 billion of the announced buybacks which we made during last year, early parts of this year. That gives you a 75% implied payout ratio, based on 2018 equity cash flow of around about $6.9 billion. Going forward, we will be doing the same and it's a good cash returns story and this should continue. And we've indicated, we will be doing around about $3 billion of buybacks during the year, $2 billion minimum by December 2019. Plus, we're targeting another $1 billion buybacks, which will be -- which will come from some smaller asset disposals throughout the group during the year. So, overall, including the dividend distribution, we should be making cash returns of $4.8 billion to $5.8 billion during 2019. Going to sustainability. As you can see, unfortunately, we had 13 fatalities at our operations around the world. We continue working on this area and we're spending a lot of time. However, we still have a large amount of underground mines in difficult regions of the world, which is taking time to ensure that we're running those mines safely and to ensure there are no fatalities to aim for 0 fatalities at all our operations around the year. So it's a continued effort by the group. And, hopefully, we will get there as we move forward. Following the publication of the new U.K. Corporate Governance Code, the board has established a new ethics and compliance and culture committee, which will be put in place during the year. And that shows you the different committees that the company has and which -- the new one, which is the ECC committee will be installed following the code and the board has decided to set it up as follows. Once again, climate change furthering our commitment to the transition to a low carbon economy, we believe the company is well placed in this area. We have the right commodities. And as you're aware cobalt, zinc, nickel, copper, which is a complement for battery supply. And we continue to grow and hopefully grow in those areas which we aim to capitalize on that, which is, as we move the energy and mobility transition into electric vehicles, we will be at the forefront producing the commodities in that area. What we have also done, we will limit our coal production capacity broadly to current levels. And as you are aware, we're producing around about -- we have capacity for about 150 million tonnes of steam coal and we've agreed that we will limit to that amount of capacity -- that amount of tonnage going forward and we will not increase that tonnages of thermal coal produced by the group on a future basis. Coming to Tailings Storage Facility Management amongst the group. We moved in this area in 2014 after the Mount Polley incident. We appointed a team to review all our tailings dams around the world. We had a person who's heads up these tailings facilities and the investigation of all our tailings facilities around the world. And we worked aggressively from 2014 after the Mount Polley incident. After the Samarco incident in 2015, we increased our review of all our tailings dams even further and we worked very closely with the world's leading experts, Klohn Crippen Berger and over a period of time, they have reviewed all our dams and alerted to us where we have issues and how we have to remediate those issues and we're working through that as time goes on. This company is working with us and they will continue working with us reviewing all our dams on an ongoing basis and we'll review every damn and continue to review them with this group over a yearly basis. And we believe over 12 to 18-month period, they'll be able to review each dam again and again over that period. And that gives you an idea of the dams we have which are upstream dams, which are center-line and downstream dams, which are active and non-active. And actually we are aware the problem dams are potentially the upstream dams. And you will see if we got the 51%, 31% of those are active and that represents around about 22 of our tailings dams around the world which are upstream. And we're working very closely to monitor those and ensure that they are safe. So, with that I hand over to Steve who'll go through more of the financial issues. And then I'll come back later and talk about where -- how the market is looking, where we see the market going forward. Thank you.
Steve Kalmin: Thank you, Ivan, and good morning to all of you in the room and those that may be listening in on the line or on the webcast. A few highlights as well that Ivan has spoken to most of these topics as well. So, EBITDA, it was a -- unfortunately it was a weaker second half than the first half. Industrial was pretty -- was broadly similar period-on-period. The second half marketing was weaker, particularly in the metals side. We already flagged the -- some aluminum and cobalt challenges in December last year. We think we've worked through most of those, I'll talk a little bit about that back in the marketing, but that's -- it's still -- it's a higher percentage clearly in the marketing if it's a sort of 102 potential miss on marketing over a $16 billion business, it obviously puts into context on what can cause today more like around 1% or so over there. But strong cash flow generation, obviously, as Ivan said, funds from operation up at $11.6 billion. That gives us the capacity to fund the business, spend the CapEx, doing the M&A. It was a period during last year where there was a handful of announced acquisitions, probably more back end beginning of 2018 almost into 2017. We've sort of gone through all the funding and the commitments associated. So, we do start the year now 2019 in terms of cash flow generation that can be applied more generously towards share returns. But I think the M&A objectively looking at some of the coal acquisitions expansions in zinc and a constructive commodity and some of the longevity and optionality that Volcan is going to give us in zinc and some of the downstream plays we've had in oil, I think it sets the business up nicely in terms of its cash flow generation as well, but we start the year 2019 sort of unhinged in terms of any previous commitments on M&A. CapEx leveling around at sort of $4.9 billion. That is our guidance still for the next three years averaging around $4.8 billion. There's a level of expansion rate around 1.1, 1.2, 3.7, 3.8 at this sustaining level across the business. There will be a slight to no change in any of that. Net income as Ivan said, it was around $2.4 billion what we would call significant items. Most of that impairments 1.6 at the time flagging, Mopani $800 million; Mutanda $600 million is the two other sort of chapter inverse of that in financials by all means go and have a look at that. We've shown the reasons the sensitivity to various macro and micro assumptions have gone into that. Of course mining codes impacted the margins at Mutanda. And this -- and the oxide -- sulphide that's sort of $600 million impact there. Mopani even the asset price assumptions was quite a big value driver there. It has a smelter producing asset. We think the regional balance is going to deteriorate in favor of lower prices including our sales building and asset plant in Katanga, which is obviously makes sense for that operation but that was a change on a -- that happened at Mopani. Net debt at $14.7 billion. There's the full reconciliation in the financials but about $7 billion as Ivan said of equity free cash flows. Reason the net debt has clearly gone up is the M&A $4 billion, which is the accumulation of the HVO, Hail Creek, Chevron business and one or two smaller ones, buybacks and dividends around $5 billion. And what we flagged two or three weeks ago, the production of port was a $2 billion buildup in non-RMI working capital just the balance between receivables and payables, payables going down at a greater rate than what receivables their $2 billion has gone down. I'm sure I'm going to get a question later on to say if this was going to reverse. I'm not banking on this reversing. Clearly we're in a more conservative balance sheet now than what we were six months ago in terms of the working capital position. There is a float there. Can we go and access that again at some point? Potentially yes. But by definition for those saying what's -- sort of what could happen going forward in working capital? We are in a certain better position around the trajectory there in terms of how that's gone. But let's not assume any further either release of that or necessarily further change in working capital is what we assumed. And, of course, the large buybacks that we've done as well. And we'll talk about all that later on. If we focus on the Industrial part. We used to have Marketing first Industrial last sort of that’s a bit -- back to front these days around that relative contribution between the two businesses. So we flipped it now into Industrial and Marketing now representing $13.3 billion of that $15.8 billion number. So it's well over 80% of the numbers. If we look at the contribution between the two that was up 15%. Metals and minerals overall still dominates across the main commodities, the copper, zinc, nickel, alloys and the like. But the big increase has come through -- has come in the increase on the -- particularly the coal contribution, higher prices plus the contributions from the acquisitions during the HVO and the Hail Creek. Cash margins, EBITDA margins, mining margins very healthy if you can see on the graph on the right. The coal side, which contributes the 46% there. So good buffers around the cash generation there. Metals and minerals hovering around that 40%. Still a good blend between low-cost high-margin businesses that we have across the thing. We'll get to a waterfall on the next slide as you'll see where the evolution, but generally a good trajectory. And we're clearly about those levels at the moment on a spot basis. This chart would look pretty similar across the industry on the Industrial side where did we see the movement 2017 to 2018 price helped clearly during the year. At some point hopefully we're sort of mid cycle. And we can see that continue to improve across various commodities. Copper nickel cobalt we've given some increases there. Cobalt was a tale of two halves. We'll speak about that later on as well. The average happened to be 32, but compared to middle to the end of the year it was off 50% and that's continuing to be a drag today in the relative sense in the cost structure in cobalt. But from the $2.1 billion, the copper cobalt $0.6 billion nickel $0.3 billion coal $0.9 billion contributed the major aspects of increases. On the volume side some small impacts. You'll see some volume trajectory going forward. That will be a tailwind going forward across various aspects of our business. But again, copper cobalt, particularly Katanga the coal M&A would have had positive contributions. That's cost including inflation. In the past we've broken inflation out. Inflation would be about just sort of -- this sort of automatic CPI-linked inflation that tends to apply across most consumer price increases would have been about $500 million of that $1.347 billion. You've got some relief clearly on currency. Some of the biggest impactors there has been mining code clearly across both our operations in the DRC that effectively came in from one January. So we've had six months absorption there. We are currently both being charged and paying the full effect of the higher royalties and various other impacts across the supply chain. It is something that we have contested. We are paying under protest and hopefully some mining code relief at some point, we'll be able to engage with the new government there. Clearly higher energy and commodity input costs. So as much as we got oil price on the left, you can see up 31% we are both a producer but we're actually a larger -- much larger consumer than we are a producer currently in the oil business so that's coming through in the diesel. Various other input cost reagents, asset prices these are all across the different businesses. Lower grades -- lower smelting custom profitability that should turn around this year particularly in our copper business. That does comes through the cost line as well. And of course to the extent that these higher royalties link to the higher prices that will flow through that number as well. Also in the higher inflation, we've sort of said the CPI in Argentina was particularly when you saw 40% inflation that will come through cost, but then we've got a $100 million FX benefits through the depreciation of the Argentinean peso as well. If we look at the reconciliations and the detailed buildup of those industrial's, we've gone through the various commodities and there's a reconciliation on page 31 relative to earlier guidance. It's all pretty much spot on around how our sort of mini models would contribute to that business. So copper contributed 30% of the Industrial EBITDA $4.7 billion of the group EBITDA there. A few things to flag, we have had higher production which clearly helped on the Katanga side. That journey continues. That was the first year of the Line 1, 140,000 -- 150,000-odd of copper and a little bit of cobalt as well. This year is the year of taking that operation up to its capacity close to the 300,000 tonnes copper and around 26,000 tonnes cobalt. So that will have a positive bearing on our overall footprint. A few factors to -- at the EBITDA, a few opportunity cost was the timing of sales versus production both in copper of about 22,000 tonnes but more importantly the cobalt currently that's stockpiling with the excess levels of uranium typically at Katanga. Just in the year 2018 alone we got 3,900 tonnes of cobalt which even at the poor margin -- spot margin environment of cobalt at the end of December had an EBITDA opportunity cost to us of that $134 million. So that's just being stockpiled in anticipation of the ICE plant and the various other treatment initiatives, Katanga also if they haven't already there's going to be their own release before Canadian market goes up, which will clearly go into more chapter and verse around what's going on around cobalt, in particular, around suspension of uranium and how to treat that and how that project is clearly going? So all the costs around 2018 is broadly where we said at the -- towards the end of last year copper is one of four. We guided to one of three at the end of last year and they've come in pretty close to where we said. Increases year-on-year, 2017 to 2018, is clearly being impacted by DRC mining code, higher energy cost and net sales, the production variance which at some point is going to catch up. We'll see the evolution more as we go from 2018 to 2019 as we go across. Zinc business, clearly stable. They're growing through production returns at Lady Loretta. And ultimately there will be the Zhairem expansion within our zinc operation. More 2020 effect will show you the trajectory and cost. And coal was a very solid cash contributor, EBITDA, and relatively low CapEx which is -- allows good cash conversion that came in with a $40 margin against the $39 guidance as we said last year. Marketing, we've spoken about the two factors. The basis risk -- they're both in metals and minerals. It was the alumina and the cobalt impacts that was flagged and went into reasonable amount of detail back in early December. It was both those two factors that prevented us from being certainly much closer to where we were in 2017, maybe not quite as good as 2017, but we -- it would have been sort of middle of the range. But for the factors that those had came towards the end of the previous year. There was another competitor, as I flagged as well though the last year that flagged the alumina distortion in the market where the sourcing and sale of alumina, which previously was a reasonable back-to-back around percentage of alumina. We've had the index pricing sourcing having to feed into long-term percentage of alumina prices as well. These are legacy contracts. These are all contracts. Our exposure to that basis risk is slowly grinding to almost nothing, but with the huge spikes in alumina from that 350, 400, towards 700, that had a quite a material impact on the business last year. And cobalt was sort of a double punch, if you like, for us during the, sort of -- from about August, September, October, towards the end of the year in a variety of factors. We've had some Chinese non-performance. We spoke about that as well around certain fixed price realizations on hydroxide. We did have to sit around the table and reset some of those. Hopefully, the swings and roundabouts around that over a longer-term cycle, cobalt is going to have its day in the sun again, but we clearly had to take that performance risk. And also as I flagged within the -- back in December, it's a little bit left-hand right-hand, but within the marketing business we do have to continuously off-take the material from both Katanga when it's selling of course and obviously we've turned around those agreements. So this is coming on to the marketing -- coming on to the Marketing's books. It's not an easily hedgeable commodity. It's not a commodity that you can lay of that this -- the demand strength today. So you will have lag effects of having to take material on to your books and you will have some length in cobalt. To that, we'd like to have less length, but we do have some length in cobalt. And just in the month of December you saw cobalt prices dropped 22% on some index. Clearly, this is not on all the realization. That could turn around as well, but that's what had to be absorbed through the earnings for that particular period. What we've highlight is the graph on the top right. I think it's interesting to note that even at $2.4 billion in some historical sense, excluding agri, which has been a bit noisy from a comparison perspective, and I'll talk about agri as well. At $2.4 billion it's sort of in the pack last year, particularly good on the energy side. And we should -- the agricultural side should be at $200 million, obviously, you've got challenges in that market as well. It has effectively contributed zero which is the green line, but if you look historically, 2013, 2014, 2015, we owned 100% of that business. 2014 was a stellar year obviously in that business as well. 2015 and 2016 was a proportionate business once we've sold it to the Canadians. We've restated 2017 and 2018 just to be our share of the net earnings of that business. But on the agricultural point, you can see although 79% down at the net income level, the actual business was 23% down on an underlying, 100% EBITDA business. We've given those numbers in the financials. It was $4.84 billion, 100% down from $6.31 billion, 23%. That does reflect weaker crops sizes Australian, particular in just general challenges. That business should be at 100% to $700 million or $800 million type business once that -- I would say should be about a normal operating capacity margin environment of that business. So, these underperforming at that level, we should have about a $200 million net income pickup from the agricultural business. So, it is a factor. We are expecting enough confidence in bringing back towards the middle of the range marketing in terms of where we sit at the moment. And we'll get to the next page, so this page reflects that $2.4 billion and again the range and expectations around being, again, towards the middle of the range here for this year. And we've given some of the factors on the left-hand side as to various elements and Ivan will speak to some of those things around tight -- to tightening physical demand conditions. We are seeing that starting to materialize, particularly, in some of the metals commodities. Selective deployment of working capital, at the moment, we're not doing much. You've seen the release of some mine, but that's certainly a catalyst if things suddenly presented themselves, Katanga or otherwise, of course, there could be higher interest rates. We've sort of paused a bit, but that's obviously depending where you think we are in the cycle. And some volume growth, production growth it's generally occurring also in our business. CapEx, not much to say, it's largely a rehash of where we were in December. We've come in $4.9 billion against the $4.8 billion and no changes as to guidance around the $4.8 billion average over the next years. Sort of relative more brownfield developments now averaging $1.2 billion, those have all been pretty well flagged. The only one that's still in a not approved phase, but we've put it in the highly likely is that Collahuasi mill expansion to the 170. So, if you are ever at the site visits, we advised back in December that would be a potentially around the $200 million commitment. That's for sort of Glencore share, that's not an approved project per se, but it's being factored into the -- as good as I guess. In terms of balance sheet I'll finish up before we give you some of the modeling details as well. It's still a pretty strong balance sheet in terms of cash flow generation and coverage. We spoke about the net debt. Net funding was actually broadly flat year-on-year, notwithstanding the increase in net debt about $4.5 billion net loss that's release of working capital of about $3.5 billion down to $17 billion. So, that's -- we still have -- I would say there's still RMI that can be unlocked in the business in the current commodity price environment, but it's always subjective. If you're going to see some explosion in metals prices and oil prices clearly go up, you're going to see just a price variance there, but I think you'll see more than a positive compensation through the spot cash flow generation the EBITDA in the business. What we have just flagged as well obviously with 0.93 net debt to EBITDA with net debt I would say having peaked now between M&A and the working capital movement. Although we've spoken about a maximum two times net debt through the cycle, just given some of the uncertain, some of the trades, some of the sort of economics and the geopolitical events we are running the business at this point in the cycle to try and not let that number having a cyclical management of aiming not to let net debt to adjusted EBITDA elevate much above 1 times. So with that we're doing our thinking clearly sort of the world fell out of bed tomorrow and suddenly our spot EBITDA was $15.8 billion now it's sort of $13 billion just sort of pick a number. We would in terms of that ratio we would look to get our net debt down to that $13 billion. So that's how we would like to sort of keep that 1 times in terms of keeping a conservative financial profile. We're obviously comfortably above those levels, trending down for that 0.93, but I think it's just prudent and appropriate to run the balance sheet in that sense. Just a modeling guidance, because that's all looking back, it’s all going to be more important looking forward. So this is the detail of what comes out of our spot cash flow, it is sort of cash flow generation at spot, across the different Industrial businesses, all the building blocks down the track. Copper is the one that's worth spending a little bit of time. So it's being -- you can see bottom left, I would point towards a range of outcome as probably being something that's more sensible. So we’ve said $1.4 is the cost. That's what the actual was 2018; 2019 anywhere between $0.92 and $1.25. Now the spot cash flow illustrative $15.8 billion is the higher cost $1.25. So we've taken the most conservative part of that range. What's driving that range $0.92 to $1.25, cobalt. There's nothing else that's driving that range. So at the bottom end of the $0.92, what we've assumed, let's say, in the $1.25 is that we are not selling about 25,000 tonnes of cobalt this year of what we're producing. You can say Katanga. Okay. Katanga but just a general assumption to say Katanga will, of course, it's producing 26,000. They've said they will sell some of their production this year but most of it is going to be 2020. Across there is a modeling assumption we've seen 25,000 tonnes of cobalt not being sold. We've also run through that particular model on spot prices, the realization of cobalt hydroxide as some benchmark would indicate it might be. It's very low volume. It's very illiquid at the moment, but we've taken about $11.50 a pound, is the price that’s we want. $11.50 a pound and 25,000 less tonnes of cobalt is what's driving that $1.25 against what would've been a $0.92. That's a $1 billion variance against the cobalt revenue that we're running just two months ago at the end of -- or at the beginning of December, which would have been more sales and higher prices. So you can have your own views as to where the volume and price is going to potentially lead us. And we do speak about the cash flow generation, the $6.8 billion that Ivan said, that's at the conservative $1.25. So I think a range of probably $6.8 billion to closer to $7.5 billion is probably a more bookended around cobalt realizations at the moment in terms of how we go. I'll show you how cobalt, in terms of the assumption, that's the main variable. The other businesses are pretty steady state around its production. And obviously cobalt, there is the assumption then of the -- within copper, we have the expansion 46,000 tonnes this year. That's the net of the extra 150,000 at Katanga and Mutanda being rebased to closer to the 100,000, which we'll see on the slide as well later on. Based on an optimized plan and an optimized cost structure, you would have seen some headlines on that. Where is all the building blocks for all these numbers. That's the production longer-term guidance unchanged in cobalt and all the other metals. Copper is the only thing which is a drop of 40,000 across all years on account of Mutanda. Even 2018 to 2019, we've got some reasonable volume growth in cobalt still sort of query the sales impact on that, but physically you'll be able to go and see the bags of hydroxide there. And ultimately it will convert in to cash. Whether it's a 2019 or a 2020 story, we'll obviously wait and see. Zinc you've got Lady Loretta. There's some further nickel and coal of course there's M&A and just generally recovery mostly in Prodeco. But across on the right-hand side you've got overall, that's not an annual growth rate but it's an overall absolute growth rate 2018 through 2021 across the different metals. And I think that's in commodities that should be favorable economically for us going forward. Where does this put us on the -- this was a slide we introduced also in December. I think it is quite a useful one to understand sort of where free cash flow and returns may look like across various cycles. So we've played a -- we sort of see a $5 billion to $10 billion free cash flow range for this business in across a range of cycles and then what free cash flow yield that that clearly generates and the ability to distribute cash on those sort of returns. The downside was the average 2016 prices. We all know with 2015, 2016 there's not a place and period. And on page 40, we showed the various assumptions that underpin all those. So if you sort of quickly glance to page 40, you can see the downside that was copper averaging $4800. There was zinc $2000, nickel $9600. There was the free cash flow at $4.9 billion. So pretty downside from where we are the moment that with that sort of cash flow generation. Upside of $10 billion, that’s prices we've had in the last 12 months. We don't have to go too far back into the history to see those sort of prices. There was copper at $7000. We were there in Q1 last year. Zinc at $3200 and nickel $15000. We're not that far away there. Cobalt you'd need to sort of kick up to $24 a pound there but not a million miles away from potentially getting up to $10 billion of free cash flow in this business. We show some data points with 2017 were $7.7 billion; 2018 $6.9 billion, but obviously impacted by some of the delays in production sales. Marketing was a bit weaker. And spot today $6.8 billion -- $6.8 billion to $7.4 billion $7.5 billion depending on cobalt. I think that's sort of the range at the moment. I think what's -- based on the commitments that we've made today around distribution as Ivan said, $2.7 billion base distribution $2 billion minimum buyback out of free cash flow as opposed to the noncore disposals at $4.7 billion against the $6.8 billion that's a payout of 69%. If the free cash flow was $7.5 billion we would've a payout of 62%. So we still have quite a buffer around the potential to top up distributions during the year when we are up in August and see how things develop there, plus it gives a 30-odd-percent downside buffer against if you do have some contraction in cash flows. You're still not funding these buybacks out of debt. You pay it still out of free cash flow within the business which I think is a positive element as well. That shows the -- obviously the buildup. And you've seen all the graphs. There's the $6.8 billion that takes account of full paying taxes across all the business. We do have still a few -- some tax shields and some tax losses in some countries. So tax may be a little bit conservative and this is still accounting on the interest rate for potentially to interest rate raises during the year. So I think it's still relatively conservative below the group EBITDA line. If we just go to the capital framework nothing particularly new there as we look towards the -- our target capital structure and ratings. We'll see a slide -- I'm not going to focus on the slide, but obviously what's relevant in terms of buybacks and accretions on the likes we've got some slides towards the end of the slide -- towards the end of what our share count is. We've obviously -- it's materially decreases. We've been doing some of the buybacks over the last period. So do build in and do track that within the various modeling so we've got as well. And as Ivan -- I think a point just to mention is the $2 billion buyback that's being put in place now to be topped up automatically by $1 billion from a target of $1 billion minimum noncore disposals. There's a range of what we would still say noncore or sort of tail assets. There's a few process on the go. There's a few other target opportunities that may be listed stakes. It maybe various other things. We think we'll get there in a canter. And we'll, obviously, make those announcements as when they as well come, but I expect it's going to be a sort of a sprinkling of various sort of smaller announcements throughout the year. So potentially close to one or two as well. So if we just finish up before I hand over to Ivan I think this is obviously quite a powerful slide. You can see the modeled reduction in share count until the end of the year based on those announcements. Because obviously there's an assumption around the price, the execution but we could have close to 9% of reduced share count just executed between 30 June, 2018 and the end of 2019 and applying those buybacks and the distributions across the price at the moment. We've mapped up and we're the fourth highest within the FTSE now in terms of a -- not just a free cash flow yield, but an actual cash-returning entity around the 11% or so and well-positioned certainly within the mining sphere as well. So some pretty powerful numbers economically as well. So on that note, I'll hand back to Ivan and just to wrap up. Thank you very much.
Ivan Glasenberg: Okay. Looking at the outlook going forward where we look during 2019, as you can see on this slide, Global Economic Policy Uncertainty Index is very high. There’s been a lot of uncertainty towards the end of last year as we saw. And as you see that has had a drag on the PMI indexes, which have dropped during January 2019. We all know what it's about -- a lot about the trade talks, macro fears and they of course had a drag on the economy. However, if you look at the next slide, the good thing about the mining industry we've cut CapEx expenditure. As you can see we were in the high days of 2012, 2013 we were above -- the whole industry above $77 billion we were spending. Today we're below the average at about $43 billion. So the mining industry is being conservative on the CapEx. It's not massive expansionary CapEx. Most of it is sustaining CapEx and there's not many large new mines being built around the world. So we have limited new supply coming into the market. And demand hasn't been bad. If you look at the slide on the right, demand has remained solid. And if you look at the various commodities, you look at seaborne and thermal coal; it's up close to 8% growth last year. If you look at nickel, we're up above 6% growth. Copper above 2%. So demand has been relatively good. And as I say, if you look at the left slide with supply tightening up, because no new CapEx is -- no massive CapEx and no new mines coming into the system has definitely limited the amount of supply in the market and to what it evolves to as we see in this slide, naturally we're going to get drawdown’s of inventory around the world of the different commodities and that gives you an idea we've seen it if you look at SHFE LME and other warehouse like Comex et cetera added together and you look at the worlds inventories around the world, we're at record low levels for a lot of the commodities. And that gives you an idea. At copper we have 13 days' supply sitting in the inventories around the world. You have zinc down at record levels of eight days' supply and nickel at 34 days. So what does that mean? With demand growth and where do we see demand and with the supply coming in the market during 2019? So what we've tried to do here if you look at nickel, what we're trying to say to ensure, you don't draw down from inventory, we gave this slide during December 2019 and it looks like it's still the same not many new changes over the last three months. But what we are saying here give an example for nickel that you're going to have to have demand negative growth. You're going to have to go down 1.3%. Last year's demand in 2019 nickel was around about 2.3 million, 2.4 million tonnes. And we see supply only being around about 2.3 million tonnes this year. So, therefore, we're going to have a shortfall. And therefore you will need on last year's demand a negative demand of 1.3% to avoid drawing down inventory. So, it's obvious, as we've seen with nickel over the last few years, there has been a deficit and we have continued drawing down inventory. I think last year there was about a 177,000 tonne drawdown of inventory against the exchanges. The same applies to zinc. I don't want to go in details but around you need negative 2% demand growth going from 14.32 million because there's less supply coming this year of metal. So, therefore, you will have to have that. An interesting one is if you look at copper, we all know yes there's new supply coming from various mines but a lot of mines are losing supply. We know what's happening at Grasberg and various mines around the world, where you're going to have supply reduce. So we don't see much supply net-net supply. Over the next three years, we don't really see much new supply coming into the market. And therefore, the little bit that does come in next year, you will need to not avoid drawing down inventories demand supply -- demand can only grow 0.8% to avoid. Because what are we talking about? We're talking of demand last year of 23.7 million tonnes. This year we believe supply most probably 23.8, 23.9 million tones. So demand cannot grow above 0.8% before you draw down inventory. And as we saw last year, demand will grow -- last year grew at about 2.3%, 2.5%. So it's clear if we get the same demand growth this year, we'll start drawing down inventory. And you've seen in the previous slide inventories supplies a few days we said in copper around about 13 days. So really if we do have more draw downs against inventory could have a very favorable effect on the market. So what is the investment case of Glencore? As I said, we believe we've got the right commodities. We are an attractive part of the commodities, talking about the supply side, which I mentioned earlier. So we believe nickel, zinc, copper, we are in the right commodities moving forward and therefore with a limited supply-demand, we believe still being strong, it should be favorable going forward. We generate extremely long cash flows. And as Steve mentioned in the slide, depending upon commodity prices, we have between the $5 billion to $10 billion free cash. With well-capitalized assets, we have very little CapEx to spend on growth. It's mainly sustaining CapEx. And you see in our CapEx figures and where we're going to keep the balance sheet, so we're in a very strong position, which allows us to have these compelling cash returns back to the shareholders. And as we said, with the distributions and buybacks, we should have around about $5.2 billion -- we had $5.2 billion in 2018 and a minimum distribution we believe in 2019 as we said between the $4.8 billion, $5.8 billion. And we should be the number four of the FTSE 100 cash return yield that's where we should be based and that's where we see ourselves going forward and that gives you the amount of cash that the company will be generating and not much to do with the cash other than doing these share buybacks or distributing dividends back to the shareholders, so very compelling company going forward in respect of cash returns to shareholders. Thank you. I think that's gives a full summary where we sit.
Q - Jason Fairclough: Ivan, it's Jason Fairclough, Bank of America Merrill Lynch. Just two quick ones. Apologies if they're a little techy. But I'm interested maybe for Steve on the interplay between the RMIs and the working cap. So RMIs are actually going down even as working cap I think has gone up? And then second just on cobalt. Could you give us a little bit more color around your exposure to moves in the cobalt price? Because we've got the cobalt inventory it seems like you're taking it mark-to-market on that. And beyond that you mentioned that you have length in the portfolio in the trading business. So where are these swings on -- in the value of this cobalt actually showing up in the business? Are they showing up in the asset or they showing up in trading or in both?
Steve Kalmin: Okay. I mean RMI net-net working capital in its conventional sense reduced during the year. So RMI obviously receivables payables, the net effect of that increase working capital but that was more than offset by the RMIs. So we've had those two different factors that have been working in a conventional sense. Now we look at net funding and net debt. So in a conventional sense, working capital actually reduced. Working capital went up, if you just look at the non-RMI part and we think that paints to show the -- both the explanations and how that works through the presentation of the net funding line and of course the net debt line. But based also what I said around where the non-RMI receivables payables, I think that's now got to a point having increased to $1 billion, it's on a more conservative footing now. Generally around scenarios you can say, what's that going to go do forwards that's the more comfortable conservative balance sheet position that we're in here. RMI, we've said at a high level as well, I want to manage through the cycles again being not more than $20 billion. It's been as high as $23 billion at various times before it's now comfortably below that. But I still seeing the absence of any price explosions across different commodities, there’s still scope to bring that down further and there is some initiatives to bring it down another. I'm not saying it's going to sort of collapse on that, but at least the trajectory should even continue to be some further release from that RMI and there's some initiatives in place to do that. Cobalt, we are -- obviously as and when the industrial assets produce they will sell almost instantaneously to Glencore. And this is -- we have metal and we have hydroxide. The hydroxides coming out of the African assets, Mutanda that's about 50-odd-thousand probably between the 2. And then although 57th there's another 5000, 6000 more in metal coming out of Murrin, out of the nickel business Murrin in sort of iron ores. So that's a more of a easier commodity if you look at the sort of metal and how that -- and that's slightly more hedgeable and there's a more functioning market, the hydroxide market is maybe a bit more complicated at the moment. So obviously our assets are exposed to the spot price to some sort of realization of what price so the benchmark times the payability and we've assumed year-end $11.50. So I mean that's been significantly higher. It's been a touch lower as well. And that's -- that market that we think is starting to sort of bottom and find its strength and has displaced some of the higher cost production. There is a lot of swing production I think as I mentioned earlier particularly some of the artisanals, some of the handpicking production that may come out of DRC. When prices go higher, so obviously you see a hub of activity and the buying continues prices are down here and clearly less of that going on at these sort of prices. Within the -- because of a period of oversupply within the marketing part of business, we can't tell Katanga or -- that sorry we're not buying you, the market's soft we're, not buying you we need to continue to take it. Now, obviously, more difficult to hedge clearly in that commodity, almost impossible I would say. So, at some point, you will sort of have to buy it. And then you have some -- you are carrying cobalt inventory at a certain price. And if prices go down, you have to take some NRV provisions against that. Now, we're trying to keep that as low as possible. And we have a big access to the customer base and we're obviously very involved and very strong in that market. But there has been some buildup in being long cobalt; we are fully long cobalt at the moment within the marketing part of the business. Not to any point that's -- it's going to be materiality that it's going to -- that needs to be flagged unusually, but that has been a factor and will continue to be a factor. We see the ability clearly during this period that that ought to be stable to sort of going down, particularly in fact, Katanga is currently not selling and there will be a period. So, absence Katanga being in the marketplace at the moment is still very healthy demand growth and where prices now pushed down the -- some displacements of some costs. This market is starting to sort of feel a bit more functional and we should have a clearer pathway in terms of cobalt.
Jason Fairclough: Steve, can I just push on just to make sure I understand it?
Steve Kalmin: Yes.
Jason Fairclough: So, you guys are naturally long because you've got the flow coming through Katanga, but ultimately, you can't sell that Katanga material at the moment. Or are you taking delivery of that Katanga radioactive stuff?
Steve Kalmin: No, no. No, we can't.
Ivan Glasenberg: No, we don't take delivery of it once it's radioactive. We will only take it when they clean out the uranium.
Steve Kalmin: Salable. It's not in a salable form at the moment.
Ivan Glasenberg: Not salable right now, so it's just with Katanga.
Steve Kalmin: So, they are stockpiling and that's on their books at the moment and they need to fund that sort of working capital funding. If you look at--
Jason Fairclough: And does Katanga have it on at cost or is it been mark-to-market or--?
Steve Kalmin: No, Katanga has it on its books at a low cost of production; it's sort of the by-product accounting that goes on. You'll see in -- you'll see even that -- I mean we spoke about this 3,700 tonnes or 3,900 tonnes which is what's been produced and unsold at the end of their books. Even at the low prices on some mark-to-market at the end of December, had they sold that at that point, there was an opportunity EBITDA loss of $134 million. So, there's a lot of buffer at the Katanga level relative to what they carry. And they're carrying at very low levels of production costs at the by-product level.
Ivan Glasenberg: It's way below net realizable.
Steve Kalmin: $134 million.
Ivan Glasenberg: Below net realizable.
Steve Kalmin: At the end of December.
Jason Fairclough: Okay. Thanks.
Dominic O'Kane: Good morning. Dominic O'Kane, JPMorgan. Three quick questions. So, you've moved front and center in the presentation to acknowledgment of low carbon economy. So, does coal remain core to the portfolio? And can we rollout coal sitting outside the current portfolio in the near-term? Second question. On Mutanda you've paired back production guidance to 100,000 tonnes per annum. Can you maybe just give us some indications of what the likely CapEx might be for a sulfide plant and also some of the issues that you're facing there and the levels of comfort you'll need to get in Congo to make that investment? And then final question on the RMI points, $20 billion maxed through the cycle. Can we -- how we should be thinking about that in terms of broader leverage? Can we link that $20 billion to a net debt to EBITDA number? How should we think about that through the cycle guidance for $20 billion RMI? Thanks.
Ivan Glasenberg: Okay, the first two, I'll take. Regarding carbon and coal, yes, coal will stay in the portfolio. We believe it's an important part of the portfolio. And as you can see it generates exceptionally high cash generation because it has minimal CapEx. And you saw the EBITDA levels that where we're expecting this year. So it is part of the portfolio. What we have done and we've agreed to, today we produced around about -- or we have capacity for about 150 million tonnes of coal. And we agreed that we would cap it there. That's where we will keep our coal business. No reason to go higher. So, yes, it will continue being part of our portfolio. No reason not to keep it there. Mutanda, as we said, we've reduced because of the oxide. We're still trying to understand the oxide reserve and how much oxide we have going forward. So we've decided to reduce it down to 100,000 tonnes. We always study the oxides and we study the potential processing of the sulphides. And as you know, we have a vast amount of sulphides at Mutanda. And we're having a look at the entire processing, whether we use the Albion to build a concentrate to the different variations that we can do it to feed it into the SX/EW plant thereafter. So we're looking at the various combinations there. I think by the end of this year, we'll have a full study of it. We'll understand it. Of course, the mining code also affects how we do the valuation and where will the mining code end up. We hopefully will be negotiating with the new government. We have said before, we don't accept where they have changed the mining code right now and we would like to negotiate with the new government, some type of sliding scale or something of that nature, which we mentioned before. We'll see where that gets to and that will all have an effect, where the code will end up, how much CapEx it will need, what type of process we'll do, and then we'll decide how much sulphides, oxides, how we'll operate Mutanda going into the future. Can you speak on RMI, Steve?
Steve Kalmin: Yes. I don't think -- I mean, the RMI, we've put that sort of ceiling or cap, if you like, at $20 billion. As I said, the only foreseeable scenario that I can see of that being tested within the business is if it was a passive reaction to higher prices in particularly metals and oil, where you could see that go. Now, that wouldn't effect the net debt number, of course, that would just be a funding, so you've sort of got some sort of -- in some sense you can say, well, net funding has some sort of potential ability in that scenario to go up that $3 billion, wherever that gap that we are at the moment. But you'll have a quite a bit general balance sheet/fundamental hedge around what's driving it towards that potential $20 billion. So you'd be higher prices on metals and various other things. So you wouldn't be $15.8 billion on EBITDA and cash generation, you might be $17 billion or $18 billion in that environment. So -- but if -- I mean, your net debt to EBITDA, as we presented, should be at the $0.5 billion, $0.6 billion at it's worst on in that level. So it'll only arise in a very strong fundamental position that you don't need to put some other sort of straitjackets around things to necessarily look at to that point. But we would be mindful of all factors, of course, if it was to go to $20 billion is the overall funding environment, liquidity fundamentals, general access to funding because it needs to be funded in a variety of markets. Are they secured, unsecured, asset backed, it can be a variety of markets. It's pretty cheap funding that's available for that sort of material. But at least around that sort of scenarios that you want to run these various things, I think, just putting that $20 billion is sensible as a cap.
Dominic O'Kane: So, kind of, just as a follow-up question on Mutanda, how should we think about restarting the feasibility study, new copper prices assumptions, new cobalt assumptions, vis-à-vis the debates about super profits tax? I mean, how do we think about...?
Steve Kalmin: It all goes into the mix.
Ivan Glasenberg: All go into the mix, that's why we said, we're not rushing it.
Steve Kalmin: You need clarification.
Ivan Glasenberg: We will only make that, so we're sitting at the 100,000 tonnes. We review it. We wait till the end of the year. We got a lot of work to do. Number one is on the process. Number two is, as you say, cobalt copper price. Number three is the super profit tax. Number four is the actual royalty and tax that's going to be in place. So all those issues will be brought in mind, looking at the CapEx and then like any business decision, we've got to decide how we're going forward.
Steve Kalmin: Then you would need certainty and clarification of all these factors.
Ivan Glasenberg: Yeah. But that's where we'll take our time. But conservatively 100,000 tonnes oxide production continue for the next few years, definitely.
Steve Kalmin: And that continues for longer at this than some other things that you preserved and to some extent there has been also a rightsizing or something of cost structure and all these things. You've seen some coverage between lower expats and some contractors and these things. It's all been around optimizing long-term value while preserving all the optionality around these various projects there.
Liam Fitzpatrick: Good morning. It’s Liam Fitzpatrick from Deutsche Bank. Two questions, firstly, just on your asset portfolio. You own a lot more assets than your peer groups that, obviously, bring challenges with safety and monitoring performance. So is there a scope to go a lot further than the $1 billion that you've announced today? And then linked to that I'd be interested to hear what you've tasked Peter Freyberg with near term and whether you think there are material operational improvements that can come through the business. And secondly on the DRC, can you just give us an update on the uranium ion project? What has been the holdup? And what are your expectations around timing now in terms of approval? Thank you.
Ivan Glasenberg: Okay. The first one is which assets do -- would we sell. Yeah, we've got a lot of -- we've got some listed commodity listed things we can look at, there's the tail end, the smaller type assets, yes you've got it correct, we do have some of these smaller type assets as to our peers. They don't carry some of the tail that we have. And as time goes on we will start and as we talk about the $1 billion, we should do that this year. Going forward, yeah, as we move forward in future years there are some further smaller tail assets if we get the right prices for them or people want to buy them, we'll look at that. So it's not as though we actively got to get rid of all the tail. There are certain parts of the tail that we do want to get rid of and we're working on that for this year and future years will be a more opportunistic if people want to buy them or there is eager demand for them. And they don't for our portfolio we will look at that.
Steve Kalmin: There's a target list in there of I don't know five or six assets I guess in the group that would be part of that potentially noncore.
Ivan Glasenberg: But you're correct having those types of assets is a more difficult challenge on safety. We do have these fatalities, which I mentioned earlier, more than some of our peers but different peers have been -- what we do have the deep underground operations in parts of the world, which is more difficult to operate because the culture of the workforce, which takes a lot of time to change that culture. We're not running away from those assets because of the fatalities, we are staying there, we're saying we're going to resolve this problem and we're working excessively hard to resolve this problem. So we're there. But yeah, it is a bit more challenging no doubt. But some of those assets do give good returns and it's worthwhile staying there but not giving up on running those assets efficiently and safely. And that is part of the job you talk about, Peter Freyberg, he has to focus on those areas and definitely on those problem, more difficult type assets to ensure that they run better and safer. And technology-wise yeah that will be Peter's -- part of his job like anyone's doing with the underground mines are there better safer ways to operating underground environment with the different machinery that is now becoming available and that will be part of his job. Now technologically, can he reduce costs, we believe we'll reduce our cost. We -- as you can see at our cost numbers, we've done a pretty good job with our asset heads who have been running these operations. Can Peter push it to a new level? Hopefully he can. How much is really there with all of us miners trying to reduce cost, a lot of it depends upon the equipment manufacturers and what they are doing and what they are producing that we can use underground and in the open-cost operations to reduce cost. But yeah that will -- definitely part of Peter's job to look at new technology that's around and roll it out amongst the group and see where we can continue reducing our costs. But we had a relatively low cost base today. And as you know in the mining industry to push costs even further, when you're at that level is difficult and it will need a lot of new technology and hopefully it's there.
Steve Kalmin: Liam, I was certainly on the DRC, of course.
Liam Fitzpatrick: Yes.
Steve Kalmin: I mean Katanga will also be releasing results imminently also through to those sort of TSX as a separate sort of public company. They will talk more about this sort of chapter and verses you can imagine within their own materiality and various significant events, that's happening. But they will talk about the fact that of course they obviously working with our partner, check it means he's a very key stakeholder here. So we're aligned with them and get -- about getting approvals addressing sort of concerns and making sure we move forward with the different ministries and mines and environment and all these sort of things. But I think that's -- it's on track around the work and the technical work that's going on, but there'll be a chapter and verse of that in the next 24 hours. So they’re reporting, if there's some follow-up questions you can come to us there.
Sylvain Brunet: Sylvain Brunet with Exane BNP Paribas. Just following-up on the pretty strong announcement you've made on the coal this morning, which is obviously positive on the SRI side. I was curious to know if there was any change in your view on the outlook for coal demand. Do you still feel that we are quite distant from peak coal demand, which could have implications on the price, of course, if large players not add to that? And related to that what is your read of the current input restrictions in China? Second question on cobalt. What do you see in terms of buyers' behavior? Because it was pretty clear that next two years or so, we're giving the opportunity for the battery chain and the precursor material in China to restock, doesn't look like anybody is doing much. What is your read there? And lastly maybe to Steve on the impairments, this morning on Mopani and Mutanda, if you could share a bit more on the assumptions? It looks like you -- the price was using mainly mark-to-market as opposed to longer-term view.
Ivan Glasenberg: Yes. Look, on coal we say we're going to cap it at 150 million tonnes. We've had a lot of the exchanges with our stakeholders, with our shareholders, et cetera, and that's what we came to an agreement the demand that we believe that makes sense, and we'll cap it there. Now what effect will that have on the world seaborne and coal market? Yes, it will have an effect. Glencore is not increasing production. The world coal market and seaborne coal market, as you saw demand increased 6% last year and demand went up. And if we continue having that growth of demand, we know in certain countries that continue consuming a large amount of coal. And imported coal, you have India at about 180 million -- 185 million tonnes whatever it is. You have new country starting to import a lot more. You have Bangladesh. You have Vietnam. You have Malaysia. You have Pakistan. These are countries that are now consuming a lot more coal and consuming more seaborne coal. And therefore, you've got to look at the supply side there, where will it come and who will be increasing with most of the major mining companies not increasing coal, and some of them as you know selling their coal assets and no big growth. So, limited new supply. You also have the situation in South Africa, where Eskom is continuing to need more coal and they don't have the mine mass feeds anymore, so therefore, the seaborne coal, the export coal from South Africa some of it may move internally. So you won't get supply growth there. Colombia is getting more difficult as we know. You don't have bigger exports coming from there. So this -- who will feed the new supply -- demand on the seaborne side? The Russians can increase a bit subject to ratage restrictions. And Indonesia will increase, but Indonesia unfortunately I believe will be more tonnage increase, but not calorific value increase. So yes if you look -- and so Australia you don't have new big supply. So if demand keeps growing it would -- I believe it could put pressure on the coal price with this limited new supply in the market. On cobalt, you talk about the market and the consumers how they're behaving. Look they did stock up when the price was running up. We know that was obviously what drove up the prices, the battery makers were holding up inventory. You also had -- with the higher prices you had as Steve mentioned earlier the artisanal mining, they'll supply more during the higher prices has not come back. And if there's artisanal material coming onto the market. The buyers you've also had the new tonnage will be coming from the ERG operations in the DRC. So that is adding new supply. So in 2019 you do have a lot more supply we are -- okay subject to the Katanga issues and the uranium, but we also added a lot of new supply. So the market came off with this new supply coming in the market. As we said earlier it sort of seems like it's bottoming out. People are destocking in China and therefore they will have to come in the market and start restocking. And as they see the price move up you will see that happen. So yes, we're watching. 2020 we definitely believe the demand will be there, more demand, more battery, more electric vehicles etcetera and supply may not have caught up by then, but we got this balance in the middle in 2019 and let's see how it washes out. But it is showing signs of artisanal having cut back, us naturally with Katanga tonnage all coming to the market is starting to put a bit more pressure on pricing. But we'll see where we go in 2019.
Steve Kalmin: But so then -- I mean the supply itself has not sort of chased away those sort of long-term buyers out there. I mean they still see a point forward when you can have some triggers that can totally turn this market chronically back into an undersupply relative to sort of different things. So they still are -- there's a lot of -- it's not like the market is going to sleep in a medium-term sense. There's a lot of engagement with both Chinese and Western consumers about securing long-term supply and needs and how to think about pricing that. So it still is a positive market as you look towards the engagement with the consumer universe.
Ivan Glasenberg: We see a lot of consumers are coming to us to lock in long-term supply. The tonnage as they talk about going forward in 2020, 2021, 2022 are really significant which they want to lock in with us. Now naturally we don't mind locking in tonnage subject to how we price and etcetera so we're looking at various opportunities. But clearly, the battery makers do see cobalt being an important metal and seeing that it's not readily available, it is not large tonnages going forward because the increases we talked about that occurring in 2019 with us and the Kazakhs etcetera, we post 2019 don't have much increase. The Kazakhs post 2019 don't have much increase. So there's no -- at the end who's going to be the balancing at the artisanals and that all depends on price. So if we go back to the higher prices, whatever it is $80,000 again yes you may get more artisanal, but also artisanal is limited. So the buyers are seeing this and the buyers are definitely trying to...
Steve Kalmin: Lock it up.
Ivan Glasenberg: Lock up tonnage supply. So 2019 we got this blip. 2020, we believe it starts moving again and therefore -- and thereafter there's no new supply with demand continuing to grow. There was a third question?
Steve Kalmin: Yes, on the impairment stuff. We've given on page 57 of the report, you can see all the details and the assumptions that have gone in. So we don't apply -- it's not a mark-to-market. You do take longer-term curves and we tend to take consensus in the absence of any other better information around these things. So we do $6500 copper long term there and $27 a pound headline sort of cobalt. So both of those are above market and copper not materially, in cobalt is there's still some sort of catch up. So we will -- those are the assumptions we show the sensitivities to potential movements. Now, that could be -- at some point, if prices move above those things, we're going to have to reverse some of these impairments; it's not just always one-way traffic on some of these things. The other thing this material at Mopani which I'll tell you is the asset supply because they obviously have their smelter there. So, they're not only -- they're processing their own tonnes, they're also treating third-party and often 200,000 tonne a year smelting operation, they do generate quite a bit of asset. The market is pretty good for asset at the moment. We've taken a renewed balance around regional things. We think the market's going to -- at some point going to contract and we've had to run through the Mopani model and that itself was actually quite a material driver.
Sylvain Brunet: Just the final one on the coal import restrictions in China -- the import restrictions in China, how if it is--?
Ivan Glasenberg: Yes, I don't know how big -- that's recent that they are delaying discharging Australian cargoes. That's a bit of a political issue. It hasn't been in effect for a long time. They're delaying cargoes -- I think it's about 30-day delays et cetera, so we're waiting and monitoring it to see what big effect it has -- what effect it's going to have, when they're going to solve this diplomatic dispute which is occurring, so let's wait and see, hard to predict right now.
Tyler Broda: Thanks. Tyler Broda from RBC. Most of the questions I think been answered. But just quickly -- just Steve just to -- just go back on the working capital. The -- you said we aren't going to see reversal of the move that we've seen. The--?
Steve Kalmin: Don't assume that you're going to see a reversal. Just don't assume it. Don't bank on it.
Tyler Broda: The days payable went down with those oil contracts, does that not reverse though? Was that not expected to reverse? Or is that -- was that more of a structural issue?
Steve Kalmin: No, I mean it can reverse, I'm just saying don't expect it because there's so many variables that go into the working capital, that's oil. There is -- we're a blend of oil and all the other metals. There is receivable initiatives that clearly will go on from time-to-time. There is sort of creating more of a balance between -- we have set the internal targets around how we want to keep receivables and payables sort of generally balanced across the spectrum, which has always been again a question people have sort of raised over the years. This does reduce and this does bring those two in line -- receivables and payables. So, I'm not necessarily saying let's take payables sort of lift up receivables by another sort of $2 billion because that has its own modeling and sort of technical flaws in some of the full the RMI offset, which we don't -- which others like to sort of take all that off the table. Don't assume, but, of course, there's some float in working capital that somewhat could reverse. I'm not -- I'm certain you don't unmodel it, don't expect that it's put us in a more conservative balance sheet opening position and that's a nice position to me.
Tyler Broda: Sure. Have you been factoring receivables? And is this a reversal of that?
Steve Kalmin: Sure. No, no. This -- you always -- it's not factoring discounting that's something clearly people do in the industry and this is why you could have a shorter cycle on receivables over payables, but that's the easily factorable. Of course if you're selling to BP and Shell, those ones are easier. If you're selling to some of the other counterparts, you can ensure them, you can take out seasoned things, they are less easy to -- so it's a blend across all these things. But everyone in terms of working capital efficiency would do discounting in these things from time-to-time.
Myles Allsop: It's Myles Allsop, UBS. Just a few quick questions. In the DRC are you actually paying the super profit tax at this point? And are you still prepared to go to international arbitration if you can't get the stability agreement honored by the new government? And then I guess the other point is sort of in terms of -- in the past, I think people have admired how flexible you are with strategy and when the right opportunity is in the market like last year with the coal acquisitions you took advantage of that and arguably created more value from that then through the buybacks even. If the right opportunity came around say in the equity space, would you be prepared to put the buyback on hold for a bit and make a move if it's going to be more value creative?
Ivan Glasenberg: Yeah, I think the first question, the DRC we're not paying super profits tax yet, because it's against the feasibility study and…
Steve Kalmin: I mean, not just timing-wise super profits tax only would ever come on the lodging and the back and forth on your tax returns itself, which only gets filed in April. So it just hasn't -- there's been zero relevance of it up until now in April in terms of how it even applies.
Ivan Glasenberg: Yeah.
Steve Kalmin: And then…
Ivan Glasenberg: So, we’re not paying it.
Steve Kalmin: We're not paying it. And on your other question look, with the stabilization agreement if we can't reach a reasonable solution, we're not saying, we're ready to negotiate and we want to negotiate with the new government. And we've given a proposal in the old government where we gave a sliding-scale type royalty ratio that we were prepared to accept. So hopefully we can reach a negotiation with the new government. And as soon as the new governments in place we wish -- we would like to start those discussions. Would we consider arbitration, if we cannot reach some type of agreement? Yes we would continue potentially with an arbitration. The second part was on would we look at opportunities? And as we did last year with the coal assets, yeah, the company will continue to look at all opportunities that exist out there. If something comes that makes economic sense we would look at it. However, it would have to beat and the returns would have to be as good as the buybacks are. And actually we look at the buybacks we value our company; we see how the company is being valued. Do we see the low multiples that it trades at, so would it make sense to go buy, something when you're paying a higher multiple as against the multiple that we're trading at et cetera, it would have to be a compelling situation. So yes if you did have the Hail Creek type assets where you get these great returns based on where we thought that the coking coal price would be and where we could cut production costs where it would be the investment in Glencore and naturally we'd look at that. The ag side we've always said, opportunistic we would like to grow the ag business we have the partner in there. We've said, we'd do it since the partner came in I think it was three years ago. But up to date we haven't found anything that was compelling for the ag business to do. But we'll wait and see going forward so we'll still be an opportunistic company, but the numbers would have to make sense and it would have to be very compelling to beat buybacks.
Ivan Glasenberg: And Myles it's not always like -- it doesn't mean in terms of that portfolio. You can have things coming in and out as well. So it doesn't need to be sort of sacrificing some shareholder returns. I mean, we spoke about noncore disposals as well and some unlocking and recycling of some of those things could be deployed into other growth, the growth initiatives if you're getting obviously a evaluation uplift while not compromising on shareholder returns clearly.
Myles Allsop: Is the cap including metal as well as thermal coal? Or is the cap that you're committing to just not to grow the thermal coal business?
Ivan Glasenberg: No. Both included there.
Sergey Donskoy: Sergey Donskoy, SocGen. Most of the -- upon points mentioned before, super profit tax in DRC, you mentioned that it's only payable on tax returns, but do you actually expect to incur any super profit tax with respect to your results at Mutanda say for the past year?
Steve Kalmin: We have no expectations on that at the moment. It's a complex area around what are the pricing assumptions, feasibility studies. We're, obviously, positioning ourselves to minimize any super profits tax that may become doable to unpayable there, but that's a work in progress like so many things in the DRC.
Sergey Donskoy: Okay. And also on Mutanda with this reduction in output to 100,000 tonnes which I expect is supposed to happen this year do we -- should we expect to see a material negative impact on cash costs, given this base which remains more or less the same?
Steve Kalmin: I mean of course that -- the shear volume effect, but you've had no change to cobalt. So the nature of the ore body and the grades and the processing is still keeping, so it's copper downgrade copper -- cobalt is still getting the 25,000. So you're still getting -- so you tell me what copper price -- what cobalt prices are going to do? And I can tell you what a primary sort of copper cost is clearly going to do there. That's obviously a material driver. Yes at the margin, you will see some increase per tonne of copper, but we're doing as much is possible to mitigate that in terms of continuing to have a solid cash generated down there in Mutanda and that's through some workforce reductions that is being -- discussions that's through some regional optimization of services equipment and the likes that we can do down there. So it will still continue to be nice earner for us.
Sergey Donskoy: Okay. And two very short questions. Do you expect a legacy aluminum contracts to remain a headwind this year? And if yes, is it possible to provide some guidance? And second, you mentioned in the press release $1 billion of proceeds from expected asset disposals this year. Could you remind us what are those? What do you think to cut?
Steve Kalmin: Aluminum not material in terms of any headwinds there as we count both in -- I mean obviously the market factors, but that assuming even if market factors went the same as they were last year, the nominal exposure to that is really nonmaterial now, as we've come into 2019. So I think you can park that. Non-core disposals, I think it's not -- it's no surprise we're not going to provide you the shopping list. But there is -- as I said back to Liam's question as well, there is sort of a five or six even real assets I would say within the business, obviously more at the tail end, I would sort of characterize is non-core. There is various stages of even discussions and work that's sort of going on in this regard and that's the actual operating assets. Some may even be some of these stakes. We have a few listed stakes and a few that we've accumulated through various transactions. And I think in the presentation, there's a slide itself that covers some of the financial and others stakes which we have which even on the market-price basis comes up to about $3 billion that was at the moment. So I see it as being -- I don't think it's going to be one thing and so it's a $1 billion. I think it will be accumulation of a handful of things. And I think we'll blow through that number and we'll get there in a canter based on what the pipeline looks like.
Tony Robson: Tony Robson, Global Mining Research. Probably you can't say much, but anything you can say on the DOJ investigation. Are you having an active dialogue there or after the flurry of headlines has it going to quiet? And any view on the timeline? Thank you.
Ivan Glasenberg: Can't say much.
Tony Robson: Didn't think, never mind.
Ivan Glasenberg: Nice one, nice try.
Edward Sterck: Edward Sterck, BMO. Just a question on -- the last few weeks we've seen some pretty significant flooding events in Queesland, is there any impacts on your coal operations or exports or even on your zinc exports?
Ivan Glasenberg: Not much. We had a bit on the refinery I think but not that much.
Steve Kalmin: Well I think it's all about an element of timing, but nothing that we've come through that we've seen material annual effect on some sales. Of course, there'll be some sales slippage through railings of either the concentrated itself that goes wider. The rail will be down for a period of time you can do a bit of trucking and the refinery itself at Townsville will be down for a bit. But that capacity to catch up and reach the full year targets there.
Edward Sterck: Thank you.
Ivan Glasenberg: And on coal mining not much.
Steve Kalmin: Nothing on the coal side really.
Operator: Okay I think we're done. That's it.
Ivan Glasenberg: Anybody else? Thank you. Thanks very much. Thanks a lot.
Steve Kalmin: Thank you all. See you later.